Operator: Good morning and welcome to the GeoPark Limited Conference Call following the results announcement for the fourth quarter ended December 31, 2016. After the speaker’s remarks there will be a question-and-answer session. [Operator Instructions]. If you do not have a copy of the press release, please call Sard Verbinnen & Co. in New York at plus 1-212-687-8080 and we will have one sent to you. Alternatively, you may obtain a copy of the press release at the Investor Support section on the company’s corporate website at www.geo-park.com. A replay of today’s call may be accessed through this webcast in the Investor support section of the GeoPark corporate website. Before we begin, please note that certain statements contained in the results press release and on this conference call are forward-looking statements rather than historical facts and are subject to risks and uncertainties that could cause actual results to differ materially from those described. With respect to such forward-looking statements, the company seeks protections afforded by the Private Securities Litigation Reform Act of 1995. These risks include a variety of factors, including competitive developments and risk factors listed from time-to-time in the company’s SEC reports and public releases. Those lists are intended to identify certain principle factors that could cause actual results to differ materially from those described in the forward-looking statements, but are not intended to represent a complete list of the company’s business. All financial figures included herein were prepared in accordance with the IFRS and are stated in US Dollars unless otherwise noted. Reserves figures correspond to PRMS standards. On the call today from GeoPark is Jim Park, Chief Executive Officer; Augusto Zubillaga, Chief Operating Officer; Andres Ocampo, Chief Financial Officer; Stacy Steimel, Shareholder Value Director, and Dolores Santamarina, Investor Manager. And now, I’ll turn the call over to Mr. Jim Park. Mr. Park you may begin.
Jim Park: Thank you and welcome, everyone. We are joining you this morning with our Executive team from Bogota, Colombia to report on our 2016 fourth quarter and full year results and to answer any questions. Firstly, congratulations to the GeoPark team for its focus, experience and resilience through the 2016 industry turbulence and achieving important success all across our business and in every key measurement of performance. We now have more oil and gas, more operational efficiency, more cash generation, less debt, more capabilities, bigger investment returns, more value per share and more opportunity coming in 2017. Zubi?
Augusto Zubillaga: In 2016, we have record oil and gas production and exceed the year over 24,400 barrels per day. Our total production today is over 26,000 barrel per day and 80% of that is from Colombia. We also held record oil and gas reserves, with 14% in 2P reserves, 143 million barrels and our Colombian 2P reserve increased by 45% to 67.4 million barrels led by our ongoing success in our variety Llanos 34 Block which is developing into possible the biggest oil find in Colombia in more than 20 years. And we continue to drive down cost and increase our operational efficiencies. Operating cost were down over 30% during the year. And our finding and development costs were exceptional $2 per barrel on a consolidated basis and $1 per barrel in Colombia. So now over to Andres.
Andres Ocampo: During fourth quarter 2016 our EBITDA climbed by over 2.5 times to $27 million. Our operating netbacks were up 83% and our operating cash flow increased to $35 million. Our increased cash generation allowed us to invest in our assets as well as service and pay down $20 million of our debt. We have over $160 million in cash and available credit facility of which $74 million is cash. The GeoPark bonds which are currently trading over par, also received an upgrade from [indiscernible] based on our improved financial performance. Our net present value showed strong growth in oil reserve categories despite using a lower oil price forecast for this year’s certification. Importantly, this also translated to strong value growth on a per share basis for our shareholders. Our proven reserves after tax NPV grew 25% to $1.1 billion which is equivalent after adjusting for debt to $12 per share. Our proven and probable reserves NPV grew 15% to $1.9 billion and in Colombia along our 2P NPV10 went up 54% to $1 billion, which is equivalent for after adjusting for net debt to $10 per share. Our capital allocation methodology which is in tune allows us to reliably manage and invest in the best projects across our deep portfolio through its effectiveness again by creating a $351 million return from the $28 million invested by GeoPark’s in Colombia during 2016 representing an over 12 times return. So back to Jim.
Jim Park: All these success have contributed to us continuing our track record of 10 plus years of consistent growth and which is occurred through whatever oil industry, global financial or local political crisis has been thrown at us. Consequently, GeoPark is strongly positioned for an impactful 2017. We have an $80 million to $90 million Base Case work program at $45 to $50 oil price consisting of 25 to 35 new wells and targeting 20% to 25% production increase with an exit production over 30,000 barrels per day. Our program includes some new low cost, high potential oil exploration and proven mature onshore basins in Brazil, which is starting up in the next week and in Argentina, where our team is at excellent previous success. 75% of our 2017 investment program is focused on our Llanos 34 Block with a 15 to 20 well drilling program to further develop the big Tigana/Jacana oil field. We already we’ve had success in expanding the field size with Jacana 11 well earlier this month. Tigana/Jacana have already proved up 180 million barrels of gross 3P as of the end of last year. We also are about to start exploring another high potential fault trends in the Llanos 34 Block which is adjacent and parallel to the two prolific more easterly fault trends which have been key in trapping our big finds to-date. Thank you and we now [technical difficulty]. Any questions for our team and some additional insight.
Operator: [Operator Instructions] your first question comes from the line of Felipe Santos of JP Morgan.
Felipe Santosh: Just one follow-up question. The discovery that you made for last year, is really outstanding and the most recent announcement that the company released last week and if not mistaken, shown the extension of the field further then after your drilling campaign. What should we expect in terms of the exploration campaign? What is the company expectation for extending the size of this field even further? How do you, did you think that you could be moving and considering this oil prices that now is a little bit above your CapEx guidance? Would we expect to have more aggressive campaign in extending further the size of the discovery? Thank you.
Andres Ocampo: Hi Felipe, good morning. Thank you and yes I think as you pointed out, the Jacana discovery was a very significant. It was discovered in terms G&A [ph] expanded significantly in 2016 and accounted for most of our NPV growths and most of the news that we have been announcing lately. Last week we announce Jacana 11 which was a well that proved up of the extension of the field or the trends to the south west area of the plain. We are currently moving the rig to drill Jacana South 2 which is, if you have an investor presentation from GeoPark on Page 13, there’s a map that shows you roughly where the location of Jacana South 2 zone to be, but that is important well in terms of proving up to play and hopefully moving 3P to 2P, and type of things we’ve been doing with Jacana 11. And I would say, our 2017 campaign needs fully dedicated in Llanos 34 or mostly dedicated in Llanos 34 to continue expanding these very attractive oil play that is Tigana/Jacana complete. So we have 15 to 20 wells most of them are targeted either developing or uprising the play and we also have four exploration wells inside the block, in the other two fault trends that Jim mentioned at the beginning one to the east and one to the west as the fault trends Jacana/Tigana. So as I said, I think this is very exciting year we’ve already started, with great news and great results and we’re looking forward to continuing the rest of the year with our drilling programs here.
Felipe Santosh: Excellent, thank you. If I may, just one follow-up. Considering the big success you have had so far in this basin and all this exploration campaign that you aim to do this year. If things or things stay the same, would you consider focus even more of your CapEx in this year and then would you think that this, the guidance of the production for this year could be review old parts.
Andres Ocampo: Yes, thank you. So I think right now, we’re largely focused on Llanos 34 from the $80 million to $90 million of CapEx roughly $60 million to $65 million, so that’s around 75% of our CapEx are allocated to Llanos 34. Depending on success and yes, if we continue having great success in this block there is a possibility that we could adapt, our guidance profile, we’re sticking to what we have, results have been within our expectations, fairly within our expectations so far we’re not seeing a reason to change our guidance and we’re keeping it the way it is and then, accelerated activities we’re largely, our focus is on Llanos 34, but it will also be depending on potential successes in our exploration drilling in Brazil and Argentina, that we’re targeting in the second quarter this year. As always our program is very flexible same as last year, we have a flexible program that we can adapt one way or the other. So far, we’re keeping with our Base Case the way we started year, but it could change throughout the month depending on results and on prices.
Felipe Santosh: Thank you. Thanks so much.
Operator: Your next question comes from the line of Andre Hachem of Itau.
Andre Hachem: I’ve two questions, the first one is on your hedging strategy. Can you just close, what would be the strategy for the remainder of 2017? If you think you’re going to be hedging more, just a little bit more color in terms of what the strategy will be. The second question is on Peru, could you give us an update on the schedule when you think it will be viable to have the first oil and any other relevant update you have on this, the Peruvian upgrade. Thank you.
Andres Ocampo: Good morning, Andre. Thank you for your questions. So for the first one in terms of hedging right now we have roughly 50% of our production hedged and we have floors of $53 and $54 per barrel, so that provides us some minimum cash flow, generated with our productions from now until July and September, 2017. Going forward we estimate to have between 30% to 50% of our productions hedged in some cases it could go up to 60%, so for the second half of the year and for 2017 we continue more entering the market, we could decide to keep our volumes within those levels for the remainder of the year and beginning of next year. So far we are keeping the hedges the way they are, we’re also careful in terms of credit availability and having sufficient credit line, so we’re not raising any risk of having cash flows or things like that. So as soon as our hedges through the time when our hedges through the time when our hedges are bounce, that’s frees up more lines and we could fetch more volumes grow for longer period. And then your second question about Peru, as we said this year we’re targeting and we’re focusing on finding one or two partners to join us on this very interesting project, if that happens then we’re going to be looking to accelerate into project in 2018 and we could be able to achieve first oil in the last part of 2018. Our team is working on also lowering our CapEx to be able to get to that first oil faster at lower cost.
Andre Hachem: Okay, great. Thank you.
Operator: Your next question comes from the line of Shahin Amini of TD Securities.
Shahin Amini: First of all, congratulations on a very impressive year. Couple of follow-on questions from the previous callers. Andres you mentioned your commodity price hedging, can you elaborate on your plans for Colombian Peso hedging and those are figuring your current risk mitigation plans and looking at Jacana 11 and the timing for Jacana South 6. I wondered if you could have a bit more technical commentary on the sequencing of this wells, just trying to understand what you’re looking for from a technical perspective and for Jacana South 2, I mean what sort of objectives and there was a mention of de-risking 3P into 2P, could you provide more color and how that sort of ties in with what you’ve seen in Jacana 11? Thank you.
Andres Ocampo: Thanks so much and good morning. So the first question about our hedging in terms of currency hedging in Colombia, we monitor the currency movements all the time and we do evaluate potential hedging as you know, last portion of our costs here in Colombia are nominated in local currency. On the downturn of the oil prices, the local currencies weaken very quickly and they follow the oil prices. We’re seeing the upward trend that’s not exactly the same case, currently it’s a little bit slower particularly in Colombia. So we haven’t done any hedges yet for Colombian Pesos, but it is - what we could cover a portion of our local costs also the currency, cover the currency rate for a portion of our local cost here. We haven’t done it so far, so it’s an ongoing process, we monitor it all the time, and so far even that the currencies haven’t bounced back we’re keeping it that way. Zubi will respond to your Jacana South 2, question.
Andres Ocampo: Okay, regarding question after Jacana 11 we’re going to drill at Jacana South 2 and that is probable position it’s 2P. So we’re going to get the oil of Jacana 6 and as mentioned before, we have really [indiscernible] whole year, so in other side of Jacana, we’re doing the Jacana 7, we’re are going to also do same position of Jacana 5 and going to be in the middle of Jacana 5, 7 and 6, that’s the Jacana 7.
Shahin Amini: Okay and on Jacana 11 that is actually the closest well you’ve drilled to Jacana 2 discovery in the adjacent block. Are there any read throughs between the two wells drilled?
Andres Ocampo: Can you please say that again, Shahin I didn’t get that?
Shahin Amini: So I’m just saying that, the Jacana 11 is quite close to Parex’s discovery to the south of the boundary of the block Jacana 2 discovery well. Are there any sort of technical read throughs between the two wells based on the latest information you’ve gone, Jacana 11.
Andres Ocampo: Well I don’t think, I mean we don’t have all the information, so that sounds like a question for the call in the next couple of hours. On our side, if that’s the case then it proves that this place has continued to be real, so that’s all what we’re looking at right now.
Shahin Amini: Okay. Sorry I’m being very selfish just one more quick follow-on question, can you just confirm the timing for Sante [ph] 1 Guaca [ph] 1 well, weren’t you expected to drill those two?
Andres Ocampo: Those targeted for the second quarter, so.
Shahin Amini: Both?
Andres Ocampo: Yes. Guacam [ph] actually the four exploration wells in Llanos 34, are targeted to be drilled in the second quarter around April or May. We think our wellbore change depending on results and other things, but for now we have them targeted for April and May this year.
Shahin Amini: Okay, thank you very much.
Operator: Your next question comes from the line of Miguel [indiscernible] Group.
Unidentified Analyst: Congratulations on your result. I’ve two questions, the first one is towards the next year, do you think that at some point, you will have any capacity restrictions in terms of transportation given that you’re currently are moving your oil through trucking in Janus 34, are there any plans to build maybe an oil pipeline. And the second question would be related with your expansions plans in Brazil, it is more M&A related, would it be with Petrobras assets and my question would be like, why not focus more on Colombia rather than in other countries? Thank you.
Andres Ocampo: Thank you, Miguel. With respect to transportation in Llanos 34, as you know we have a –we truck the oil for roughly 30 kilometers from the block to the main pipeline. Right now the team here in Colombia is developing the plan of probably connecting the pipeline with our fields, with our own pipeline, so that is something that the team is developing now and could be, we could make a decision on that and have it may be running in at the end of this year or next year. So far is still a work in progress we’re getting license deals, permits and all that type of things. So for the most of this year, we will continue with trucking and that, would not generate any limitations to our goal or our operations at all. And then your second question about Brazil, so assuming I think Brazil is hopefully organic growth. We’re targeting a couple of exploration process onshore in the concurrent basin. The first well we’re starting hopefully March 13 or 14, we’re rigging up right now in Brazil. So that’s probably the first thing that we’re looking and then as you know, we think the deal is going to be greatest hydrocarbon policies in this region. We’ve targeted Brazil since our inception and we’ve been working on trying to getting more acreage, we’ve been able to grow up more acreage through the bidding grounds. And right now [indiscernible] we know it’s under conducting some asset sales processes and we participated those, we’ll see where it goes and there is not much for us to comment right now, but when it’s something that we think is attractive and we will be working on that. That does not distract us from Colombia as you said in your questions, why not Colombia and Brazil, we do have Colombia inorganic growth as one of our top priority, we want to grow in Colombia. But you know, the four years we’ve been here we went from not being in the country to become the third largest non-state owned operator in the country and we want to continue that trend. So we want to grow up more acreage here, it is hopefully in partnership with Ecopetrol or other companies that’s fine for us. We want to grow up - get more assets in Colombia for sure.
Unidentified Analyst: Thank you very much.
Operator: Your next question comes from the line of Jenny [ph] [indiscernible] of Canaccord.
Unidentified Analyst: I’ve two questions, please. First of all could you please provide some color on your strategy in Argentina, you did mentioned Brazil already, so maybe just Argentina now. I understand that you’ll be drilling up to eight wells there by June. Are there exploration targets? And is it fair then to assume that the economics of these wells in Brazil and Argentina and off the place in general are competitive with those of Colombia? And my second question is for Andres, it’s related to the balance sheet. Could you please comment on the breach of incurrence test covenants on the Bond Indenture, what are the implications of it and what’s being done to address it?
Andres Ocampo: Great, thanks very much Jenny [ph]. So going to your second question first, so that covenant the cost in covenant is something that occurred, I think we’ve been already two years probably seems closing the first time, the oil prices started to drop and our EBITDA dropped with them. Incurrence test covenants bonds, what they do is basically they limit your ability to incur you debt, there are some permitted buckets that allow us incur new debt, we don’t have any plans to do so, but many things we could. But the reality is basically you need to test these covenant before incurring debt and as I said, we don’t have time for those. And the other one, is - that not allow you to pay dividends. Of the second [indiscernible] covenants limit. What is important about it is that these are not maintenance covenants, which in combined cost maintenance covenants that means [indiscernible] report and potential acceleration of the debt, that is not the case we don’t own, so [indiscernible] remains February, 2020 as [technical difficulty] and then we’re also looking to de-lever or you know be [technical difficulty] ratios by the end of this year. Our target with the plan that we have right now and 50 oil [ph] or Brent, that means we should be within covenants again by the end of 2017, that is the plan and we hope and we’re very confident that we can get there by the end of the year. And then your first question about Argentina, so you know we have three oil exploration plays in the Magellan Basin which is the most prolific basin of Argentina. Our team has great experience in Argentina most of the core of our senior geoscience team is from Argentina, have been working there for a long time. So in the second quarter this year, we’re targeting to test these three oil plays. The total resources net exploration resources in Argentina net to GeoPark are within 30 million to 50 million barrels is of low risk, low cost, on shore exploration plays. So with a very economic place and very attractive 40%, 50% chances of success, $3 million well cost with very nice good looking prospects, things that haven’t been drilled in a very prolific basin that is filled with infrastructure. So will be great opportunity for into, to go after. We have big partners there, so we’re working one of the place and following a suit with Winter Shell [ph] the German subsidiary of the [indiscernible] Group and the other two were in partnership with [indiscernible] which is a private Argentine company and one of the biggest players in the region.
Unidentified Analyst: Thank you.
Operator: Your next question comes from the line of Shahin Amini of TD Securities.
Shahin Amini: Just wondered, can you give a cash flow from operations guidance considering your hedging program based on the oil price range $45 to $50 that underpins your 2017 council budget?
Andres Ocampo: Can you repeat the question, Shahin? Didn’t get it, sorry.
Shahin Amini: Sure. Okay. Can you and I apologize if you’ve already presented someone, I missed it, but can you provide a cash flow from operations guidance for this year based on your oil price range of $45 to $50?
Andres Ocampo: So had to [indiscernible] cash flow from operations guidance, but we did give a CapEx guidance which is $80 million to $90 million. Production growth targets of 225% and Brent of range between $45 to $50, our operating netbacks are going to be between $15 to $20 per barrel.
Shahin Amini: Fair enough.
Andres Ocampo: Cash flow from operations from that and I’m sorry, I’m not giving you full view.
Shahin Amini: Yes, sure. No, no it’s my job to do. I’m just being lazy. But final question, so your strategic partnership with LG and their equity interest at the asset level, what is the outlook for you to be paying dividends to them and diluting them at the asset level? And is that something that you’re looking at now or is it something that you’d prefer for future years?
Andres Ocampo: So first on the equity trust, well so what they is 20%. Right now we have an equity interest in the subsidiary, so in GeoPark Colombia, so they own 20% of GeoPark Colombia. We have as per our shareholders’ agreement, we have an incremental equity interest clause that allow us to increase our equity and they would decrease their equity every time we cross a recovery and they recover their investment, one time, two times so on. If you run a projection with our 2016 VNM [ph] certification, the average that means effectively in the end we would own 90% and they would own 10%, through subsequent insurance every time, they could get their dividends from Colombia. So far, we paid up to them $7 million of dividends from Colombia and the first trigger or the first jump in equity insurance clause would be triggered, once we paid $15 million so that means roughly $8 million more and that would take us from 80% to 84% and then from 20% to 16%. That is something that is likely going to happen either this year or next year and we will as you know, every dollar that we spend in increasing our interest in Llanos 34 is dollar very well spent. So on this [indiscernible] almost fully. So it is a target for us to try to increase our increase through these well, we’re here for a reason and we know we’re going to be doing it, hopefully if it’s not this year, it’s next year.
Shahin Amini: Thank you very much. I’ll leave you in peace. I’m going to do some math now. Have a good day.
Operator: Your next question comes from the line of Brian Farrell of Pioneer Investments.
Brian Farrell: Just one question, I didn’t get more color on your comment on new acquisition opportunities in Colombia, Brazil, Argentina and Mexico, so what you’re thinking of in terms of size and scale, etc.?
Andres Ocampo: Hi, Brian good morning. We target, we have three different type of, we continue our acquisitions opportunities in three different categories, one what we call them bolt-on opportunities which are smaller assets that we can continue grabbing into our portfolio. You know what mainly investments or new investment commitments, that type of things. We have bigger asset deals or we call them like M&A type of deals and then all foreign initiatives with state companies. It’s hard to give a guidance in terms of size, we do work with partners. We have partners with the LG Group, as Shahin commented [indiscernible] we have other strategic partnerships that we develop, so we can actually bring side-by-side partner. So we can actually target deals that are beyond our fire power. So we can target bigger deals and not be limited by size just by bringing side-by-side partners with us. And we’ve been able to get them in the part and we have some of them aligned. So we’re targeting, Colombia is obviously our main focus because it’s most of our success has been in Colombia. As I said, we’re one of the largest operators in the country and any assets in this area is easy for us to, there to take over. We think there are great opportunities in Brazil. Argentina as well presents a very good set of opportunities. So our team has been screening the region for years and we know the basins very well. We do have a disciplined approach when we are facing buyers, so countries like Mexico, we announced some time ago that we want to enter Mexico and we tried, we’ve been in few bidding grounds, we bid reasonable bids and we were outbid by people made the bidding too extensive or uneconomic offers and that’s not what we’re going to do. So one of the things have a diversified organic portfolio allows us to be patient buyers, so we don’t have to rush into acquisitions we’re opportunistic about it. We do want to grow our asset as we have been doing over the last years, but we don’t need to rush into things.
Brian Farrell: Okay, that’s all very helpful. Thank you very much.
Operator: [Operator Instructions] our next question comes from the line of Ian McClain [ph] of Eight Capital.
Unidentified Analyst: Just a quick question for you. It looks to me, based on your mapping that Jacana 5 will be the lowest structural well in Guadalupe formation until you drill Jacana 9, which is a step out down dip and then a large step out down dip in Jacana 10. From your presentations it looks like you will be drilling those wells in Q3, but can you give you a little bit more color, if you can. I realize programs are dynamic but do you have specific dates in mind for Jacana 9 and Jacana 10 wells.
Andres Ocampo: Hi, Ian good morning. Yes you’re right, I mean Jacana 5 is likely to be the deepest well in the structure, until we drill Jacana 9 and 10. One of the things that was important, I want to remark is that the work program changes and it will change, I mean it continues, we adjusted continuously for many reasons moving the rig and well paths and everything. So right now, as you pointed out Jacana 9 and 10 are targeted in the third quarter for this year. They’ve expected to be drilled back-to-back, so after so we’ll rig with first Jacana 9 and then Jacana 10 immediately after. And Jacana 9 is expected to start at early August, at the beginning of August, 2017. [Indiscernible] are calling to schedule right now. Would have whole, a big number of world between today and then, so again I want to highlight that this could change, so don’t hold me up for what I’m saying right now.
Unidentified Analyst: No problem. Okay that’s prefect, I fully realize it, programs are fluid but that’s great guidance .thanks very much guys.
Augusto Zubillaga: Thank you.
Operator: At this time there are no further questions. I’ll now return the floor to Mr. Jim Park for any additional or closing remark.
Jim Park: Thanks to everyone for your interest in GeoPark and your continued support of our company. We encourage you to please visit us at our operations and invite you to please call us anytime for any information. Thank you and good day.
Operator: Thank you for participating in today’s conference call. You may now disconnect your lines and have a wonderful day.